Pieter Engelbrecht: Good morning, ladies and gentlemen. It's an absolute pleasure for us that you take some of your valuable time to give us roughly an hour of your time that we can tell you a little bit about what has transpired in H1 of this financial year. I'm going to just do a very quick synopsis, and then I'm going to hand over to Anton, of course. He'll take you through the detail, which is very important for you. I know the detailed numbers. I know you've read the sense and understand all of that, but he'll color it in for you to make sure your models are in place. And then I'm just going to end off by saying a little bit about what we've been doing. Not everything is perfect. So we'll also tell you what is not great. So the sales growth was 7.2%. You have read that. Now almost ZAR 137 billion for the half year, adding ZAR 9.2 billion in sales for the 6 months. The trading profit grown by 5.9% to ZAR 7.7 billion. And probably the most telling number is the fact that the South African supermarkets achieved a trading margin of 6.2%. And for a value trader, I think that is an outstanding number. And I want to, if I may ask, to just think about that number a little bit that it sits with you that, that is the one that we consistently and Anton will talk about it, where we consistently try and achieve. And that is not something that happens because we increase prices and -- it happens because of the efficiencies and how efficient this business is run. And that's my emphasis on the 6.2% margin. The ROIC has increased again. I know a lot of you are interested in that. We can go back in history. We can talk a lot about what if African never happened and all the investments we made there, the ROIC would have been probably much higher. But that's not the point. I think what is important is the fact that we're continuously improving on that number. From last year 17% to now over 19%, I think needs acknowledgment to the team. Thank you very much for that. Headline earnings per share up over 7%. If one thinks about the last decade, how many challenges there have been, macro challenges, et cetera, that Shoprite never failed to pay a dividend to its shareholders. And we are very pleased again to be able to increase our dividend payment by 7.7% this year again. In terms of operationally, what's happening in our business, again, for the sixth year in a row, the Shoprite Group have managed to gain market share to the value of about ZAR 3 billion additional. We're still growing customers. We're still moving volume. And we're serving more than 100 million customers in a month. It's an enormous responsibility. I tend to say that there's probably 2 most difficult businesses to please is airlines and the retailers because you have such a large number of customers to please everyone is almost not possible, but not for a lack of trying. We certainly try to please every single one. That's why we think about things like the ZAR 1 items that I will cover a little bit later on also. The 6 months was really marked by low inflation. And in the month of December, actually, the festive period, we went into deflation. There were like over 14,000 items cheaper than the previous year. And I know there was a lot of reports in the media around a very slow or subdued Black Friday but we certainly didn't experience it. We had a record Black Friday. We had a record festive season, so much so that the Shoprite Group have outgrown the market 5.3x during that period. We remain South Africa's largest employer. Again, I cannot almost remember a year that Shoprite did not increase its employment or number of employees. So it's 1,711. That excludes all the contractors. You must always remember that. There's no security, no cleaning, no trolley collectors. And all the peripheral businesses that benefits as Shoprite grows. Where are we in terms of our strategy. I said this to you for the last 10 years, I think. We don't do knee-jerk. We have a strategy, and we deliver on it as best as we possibly can with the best execution that we can. That makes the difference. Yes, we make small adjustments. Of course, we have to. Market dynamic changes. The one thing you will not hear us saying is trying to make excuses in terms of we never do make excuse, good or bad. We don't praise and we don't complain. We live what we are dealt with, we deal with the markets, and we deliver as best as we possibly can. And that is what 170,000 people of Shoprite does every day. One of the things that I'm extremely proud of was the efficiencies on the supply chain. Now we currently are running an on-shelf availability of stock of over 98%. Obviously, we have to carry a lot of stock in our distribution centers to make good for service levels that are not supporting the kind of volume requirements that we have during promotions. So at store level, I mean, that percentage is closer to 6%, which I think in global context are comparing quite favorably. In the past 6 months, we had our fair share of challenges in our non-RSA business units, well written and publicized around what happened in Mozambique. There are also good things. There's a big improvement on the electricity side in Zambia, which is our largest contributor in that segment. But for the 6 months, we did experience a lower level of return from our non-RSA business. Although we also have continued to rationalize, which Anton will clarify on Malawi and Ghana, but they will come through in his numbers when he explains about continued and discontinued businesses. Then this is what we do. We really live by this that we are uplifting lives every day. And we say that not only because of our customers, yes, that is our primary, primary focus that, yes, we want to improve their lives. And that's why we are thinking every day how we can lower prices, how we can make something cheaper, we change the packaging, the transport, whatever it is to make their lives better, but also our own people. That's the Shoprite people, the people on this side of the line. So at this point, it would be very wrong for me not to thank each and every one of the 170,000 people at Shoprite for what they do every day, uplifting lives. It is an incredibly hard job to do. But the one thing is for sure is that we appreciate it. And I think in most cases, our customers also appreciate that. So thank you to you all. I'm going to hand you over now to Anton, who I'm sure will make the numbers very clear and understandable for your benefit. So thanks, Anton.
Anton de Bruyn: Thank you, Pieter, for that introduction. In my section of the presentation, I will focus on the top line drivers, the gross margin and cost dynamics within the business before touching on capital allocation and our outlook for the second half. As part of our enhanced segmental reporting, we introduced additional disclosures for the first time during this year. And here, you can go and look in Note 3 of the financial statements, where we've spoken about the expanded information and notably more about gross margin per segment. It's important to revisit certain factors that forms part of the first half of the 2025 base, which impacted some of our measurements. And here, I'm specifically referring to the impact of the Pingo increase in our shareholding as well as the discontinuation of our furniture business and then the closure of our Ghana and Malawi operations, where we saw the restatement of our 2025 financial year results. Throughout my section of the presentation, I will be referring to the results from continued operations. The Pingo transaction was concluded during the first 3 months of the 2025 financial year. And post the effective date of the acquisition, the revenues earned from Sixty60 delivery fees as well as the subscription income, which we reported previously as part of alt revenue are now classified as part of Supermarkets RSA sales. The associated cost of delivery was shown previously as part of other expenses, but is now classified as part of cost of sales, and you'll see that impact as well coming through in terms of our gross margins. This was a reclassification and on a restatement for accounting treatment. Other significant transactions the group embarked on was the sale of the furniture business to Pepkor, which included the RSA as well as the non-RSA assets, but it didn't include the operations that we had within Angola and Mozambique. These operations were classified as discontinued operations during -- in terms of IFRS 5, and we have subsequently restated our income statement numbers for the comparative period. In terms of timing to conclude on these transactions, especially relating to the RSA assets, following the recent court proceedings and the intervention by a competitor, the transaction is now expected to be heard by the competition tribunal in the coming months. We do not foresee that we will be able to conclude this part of the transaction during the 2026 financial year. When we then look at the non-RSA operations relating to this transaction, that was concluded as part of our H1 results and the proceeds from that transaction equated to ZAR 568 million, which we did receive in January 2026. Regarding the Mozambique and Angola operations, we ceased our trading already within our furniture Mozambique business during the second half of the prior financial year. And the Angola business is we are in the final stages of actually transferring the assets to a new operator. Then referring to our Ghana and Malawi operations, both were classified as discontinued during the second half of the 2025 financial year and this resulted in the restatement in our comparative results. In terms of the sale of assets on our Ghana operations, that's now concluded with the proceeds already as part of our base year or part of first half reporting. In terms of the Malawi assets also concluded on, and I expect that to be the proceeds from that transaction we will receive during the third quarter of our financial year. For a full analysis on the impact of the discontinued operations and the results relating to the discontinued operations, we've done a full analysis in Note 2 and 6 to the financial statements. Now Pieter has spoken to quite a few of these numbers in his opening comments. I would just like to highlight 1 or 2 of these. It's important to note that we did manage to contain our cost growth to around 6.6% on prior year. And that really helped us to achieve and maintain our trading margin of 5.7% for the first half. Adjusted ROIC and return on equity have shown consistent growth over recent reporting periods. And I think we're very happy with the fact that we could exceed our weighted average cost of capital that reported at 12.3% by respectively, 7.2% and 15.5% from a return on equity point of view. Now this would not have been possible if it wasn't for our disciplined approach on -- and our continued investment across our expanding store footprint, which I will touch on a little bit later, as well as our continued investment within our supply chain. And then, of course, our digital platforms, which we see continue driving value for the operations and the business. Very proud to be able to again declare a dividend where we saw an increase of 7.7% to ZAR 3.07, and that is very much in line with our growth, our 7.9% growth within our diluted headline earnings per share from continued operations. If we then turn to sales, Pieter will talk a lot about the sales and what is currently driving especially the sales growth within the Supermarkets RSA basis. Maybe just from an overview and top line point of view, we saw growth of 7.2% on the back of opening of 273 new stores during the last 12 months. with like-for-like sales growth of 2.7%. Within the RSA Supermarkets business, we saw a 7.1% sales growth to ZAR 115 billion, and that was on the back of the opening of 262 new stores over the last 12 months. Within our core brands, we saw a growth of 5.1% in the Shoprite and Usave, including our liquor business. And then Checkers, we saw a very strong performance in terms of that 8.9% growth, including our Liquor business. Important to note is that as part of our Supermarkets RSA segment and especially our Checkers and Checkers Hyper banners, we include our Sixty60 sales growth, where we have reported again a growth of around 34.6% with the number now measuring around ZAR 11.9 billion in turnover. If I turn to the adjacent businesses, and I mean, we've given you the list of all the various brands that are included as a part of that adjacent businesses. We saw a growth of 70.9% to very close to ZAR 1 billion for the first 6 months of the financial year. I think notably, when we also look at the store number growth is the improvement and the growth that we saw, especially in our Petshop Science business. Supermarkets non-RSA, very strong growth in terms of rand cent growth of 12.1% to around ZAR 11.5 billion. It's on the back of a like-for-like growth of 10.4% and then also constant currency growth of 9.5%. Internal food inflation measured across the regions were 3.2%. We opened a net 15 new stores during the 12-month period. We then look at our other operating segments, which includes our franchise business as well as our Medirite and Transpharm business units. Franchise growth was muted at 1.7%. And here, I have to flag, obviously, the lower inflation environment as well as a net decrease of 9 stores during the last 12 months. Turning to our Medirite and Transpharm business. We saw some very positive numbers and growth within that part of our business where we saw a growth of 7.9%. And again, Pieter will unpack that in much more detail as part of his operational segment. Now in the past, we've given guidance around space growth of between 5% to 6%. Our space growth in the current period was reported at 7.3% and that was really driven by the 4 hypers and the increase that we saw within the Checkers Hyper business units, where we now have 42 hypers. If I have to look at our store opening program for the second half of the financial year, where we plan to open 123 stores, I think we will return again to that 5.5% to 6% space growth. We saw a nice growth within our Shoprite, Usave and Liquor business within those banners where we added 133 stores and then also Checkers, we saw some nice growth of 76 stores added to the portfolio now of 714 stores. Within the adjacent businesses, we added 53 stores, of which 45 of those 53 new stores related to our Petshop Science business. Store openings for the second half of the year at this stage is planned for around 123 stores. Turning then to our total income, where we saw growth of 6.5% to ZAR 34.8 billion. Our gross profit increased by 7.1%. And very pleasingly, we saw that increase was in line with our sales growth of 7.2%. As I mentioned in my opening statement, we are now giving our gross profit and gross margin percentages per segment, and I will deal with that on the next slide. If we look at old revenue, we saw a decline of 2.1%, but that was really impacted as a result of the Pingo reclassification in the prior year 3 months. And again, we do that, and I will share a lot more information in more detail in the next 2 slides. We also saw a decrease in our interest revenue of about 9.8% to ZAR 101 million. That decline is mainly attributable to the maturing of ZAR 345 million worth of Angolan government bonds and bills. The positive news is that we did manage to repatriate $12.4 million of these funds to our operations in Mauritius, and it now forms part of our cash and cash equivalents. Important to note that the impact of this interest revenue decline also impacted the trading profit within the non-RSA segment, which I will deal with when we get to the trading profit slide. The majority of the share of profits within our equity accounted investments derive from our Retail Logistics Fund, which is the owner of some of our key distribution centers. And here, I referred to where we add also the Wells Estate distribution center in the last financial year as well as the expansion within our Canelands and Riverfields DCs. As part of our efforts to enhance segmental disclosures, we are, for the first time, providing the market with gross profit information at this level of detail. Supermarkets RSA operations increased gross profit by 6.5% to ZAR 29.2 billion, resulting in a gross margin of 25.3%. Now Pieter spoke about the value retailer in his opening comments. And I think here, I would like to add in terms of if we look at our RSA supermarkets operation from a value retailer point of view, the achievement of a 25.3% gross margin in a low inflation environment is a fantastic result for the group. This outcome would, however, not be possible also without the investments in our digital pricing optimization tools and this additional capital that we supported, the supply chain expansion. Additional to the low inflation environment, the decrease of 20 basis points within the Supermarkets RSA segment was also impacted by the fact that the full delivery cost relating to our Sixty60 operations now form part of cost of sales, where in the previous period, we only had 3 months included as part of that cost. I do, however, expect to see a smaller impact as we progress through the financial year. Gross margins in Supermarkets non-RSA did come under pressure, mainly driven by our business interruptions in Mozambique as well as continued shortages within foreign currency across the region, which limited the availability of imported product ranges. We are, however, pleased with the improved margins that we saw within the pharma operations that forms part of our other operating segments, and this really supports the planned expansion that Pieter spoke about within the previous results presentation within our pharma offering. We then turn to alt revenue. Excluding the impact of the Pingo reclassification we spoke about earlier, growth would have been 4.9%. We look at some of the key items within alt revenue, commissions received from our various financial service business units increased by 9.2% to ZAR 676 million. Despite a growing competition within the financial services market, our money market kiosks in the Checkers and the Shoprite stores have seen an increase in activity within the continued launch of new product offerings and the growth that we saw within the payouts relating to government grants, which obviously benefits the group over that period in the month. Our marketing and media income line and revenue line increased by 15.6% on the back of growth within our Rainmaker Media business as well as our Rex Insight platform. Operating leases and income increased marginally by 1.7%. Over time, we've talked a lot about how we also consolidate our property portfolio, and this was as a result of our continued sale of owned income-generating properties during the period. Franchise fees received decreased by 2%, noting the impact of the subdued current inflation environment on the franchise division sales, which obviously impacted that performance. The sundry revenue decreased by 14%, and that was really on the back of lower dividends received from our insurance sale during the first half, but I do expect that to actually rectify in the second half as our claims history or our claims -- current claims for the year is looking very positive. If we then turn to total expenses, where we saw a growth of 6.6% to ZAR 27 billion. Some of the major lines impacting our expense growth is depreciation and amortization, which increased by 7.9% to ZAR 4.2 billion. The growth that we saw is a combination of the increase in new stores that we opened during the last 12 months, but also our store renewals that's impacted by our right-of-use asset in terms of IFRS 16. Our aim and our target is still to be at a depreciation and amortization rate to sales of around 3%. Our current period, we were sitting at 3.1%. With the lower capital spend expectation, which I will talk about later in the presentation for the full year, I do expect us actually to come in target on that 3% depreciation to sales ratio. Important to note is the PPE that we use in terms of our stores. We saw a growth of depreciation of 8.8% to ZAR 1.9 billion. And then if I look at the IFRS 16 portion of depreciation, we saw a 16.3% to ZAR 2.6 billion. What is positive for me at this stage around depreciation is that we did see a decrease if I compare to the prior year, where our growth was around 17% to 18% to the current 7.9%, which is already showing that some of that expansion within the supply chain that we had to carry last year is now getting into the base. From an employee benefits point of view, our growth was 8.6%, and there were really 3 reasons for that. The main reason is expansion within the business. And again, I'm pleased with the fact that we could slow the growth down from the prior year 10.8% to the current year 8.6%. The group also continued to invest in our staff, where we spent more than ZAR 500 million in training and again contributed more than ZAR 50 million to the government-supported youth employment scheme. ZAR 155 million was also expensed in the current period in favor of our employees that forms part of our Shoprite Employee Trust with equivalent awards also being paid out to our non-RSA beneficiaries. If we then look at other operating expenses, where we saw a growth of 4.5%. Some of the major lines that form part of that growth is water and electricity, where we saw an increase of 17.3%. I've mentioned quite a few times in the past that I would love us to get back to that 2% water and electricity ratio to sales. But currently, we're sitting at 2.2%, and that was on the back of the 12.7% increase in our national energy regulator that obviously now forms part of our cost base. The positive for us is that we did have a reduction in our diesel costs, where we saw a reduction from ZAR 158 million in the prior year to ZAR 139 million in the current year. Other major expenses, we saw advertising costs increasing by 6.6% to ZAR 2.4 billion. And then repairs and maintenance costs increasing at a slower pace this year at 2.4%. Our cost of security increased by 12.3%, again, a result of our store expansion program, but it's still around 1% of revenue, which is our target for that expense line. If we then turn to trading profit, despite a 10 basis point impact or a decrease on gross margin through containing our costs, we did manage to achieve our 5.7% trading margin. A reminder that our trading margins within the first half always trades lower than the full year as a result of the lower gross margin within the first half. If I look at RSA growth, we saw 7.1% and our margins remained intact at 6.2%, which is very pleasing. Non-RSA did come under pressure in terms of profitability. We've spoken about the impact of the gross margin that came under pressure. Also from a cost base and a profitability base, the performance of Mozambique did come under pressure in the first half. And then I did mention earlier the third reason for the non-RSA operations showing a decrease was that impact of the interest revenue decline as a result of the repatriation of the funds and the maturity within the Angolan bonds and bills. Other operating segments saw a decrease of 1.6%, which was mainly as a result of the pressure that we saw within the franchise operations. If we then turn to net finance cost in terms of IFRS 16, that's really driving this cost base, but we saw an increase of 13.4% in the first half. And again, one of the main drivers within the finance cost growth was the 17.2% growth within our IFRS 16 lease base, where we saw the lease liability increasing by 15.5%. We've now seen that growth over the last 3 years within our lease liability, and that is as a result of the program of new store openings, and this year was 282 stores. Also the lease renewals. Now I mean, because of our big store base, we also have a big store renewal program that we do every year, and that unfortunately forms part of this whole lease liability growth rate. And then the third reason for the growth within that has been the DC openings and the supply chain expansion that we've seen during the last 3 years. The positive, obviously, is the impact that we saw in terms of a gross margin and trading profit margin impact as a result of that supply chain investment. On the positive note, the finance costs relating to our borrowings, we saw a decrease of 10.7% and that was as a result of a decrease in the prime lending rates, but also as a result of the lesser demand that we have on our overdraft facilities, especially during month-end periods. And you will see from a cash flow point of view, our cash generation within the business was stronger this year, which basically led to that lesser demand on overdraft facilities. We then turn to our cash and capital allocation. Cash generation within the group remained very strong as in our previous periods as well, with cash generated from our core operations at ZAR 13.3 billion for the first 6 months. Then we settled some debt. Part of that is our IFRS 16 lease liability of ZAR 6.2 billion. And then our capital spend in terms of our expansion as well as our maintenance capital was ZAR 3.9 billion for the first 6 months. The detail behind that, I will unpack in the next slide. We then paid dividends. Our final dividend for the previous financial year equated to about ZAR 2.7 billion, and that was formed part of our shareholder returns. If I then turn to working capital, we did see a positive move in terms of the working capital gains where we had ZAR 5.4 billion of positive move. ZAR 4.3 billion of that was as a result of the cutoff where we made creditor payments post our H1 cutoff date. But secondly, we also had a very positive impact in terms of how we look at our inventory, where our inventory grew and increased at a slower pace than the growth within sales, which also then gave rise to part of the benefits that we realized through our working capital. I did mention the impact of the cutoffs in terms of our creditor and tax, which equated to ZAR 5.8 billion. If we then turn to CapEx and our spend, was 2.9% of our revenue, and we spent ZAR 3.9 billion for the first half. 82% of that spend was allocated on expanding the business, of which the majority of these initiatives was focused on expanding our store base as well as upgrading our existing stores. And I mean, Pieter will talk about his views on how we think about our Shoprite FreshX stores, together with then also our investments into our digital capabilities and supply chain infrastructure. So most of the capital spend remained within South Africa, and that is directed at initiatives supporting our ecosystem. That includes ongoing investment in our information technology infrastructure to keep pace with the growth that we're currently seeing within the business. Management has a clear understanding of the information technology future demand and the associated investment required. And capital allocation will be adjusted accordingly over the medium term if there is a bigger requirement for CapEx from an information technology point of view. And here, I'm referring to various system upgrades or replatforming that needs to be done. If we then turn to inventory, we saw an increase of 3.3% to ZAR 33.7 billion. Excluding the impact of the various restatements that I spoke about in my opening comments, inventory increased by 4.5%, lower than our increase within our sales. The majority of the increase was within our RSA Supermarkets operations, where we saw an increase of ZAR 1.1 billion. The reasons behind this increase was as a result of the 7.3% we saw in space growth or additional 262 new stores. The higher on-shelf availability that we needed to support our Sixty60 business, where we saw that 34.6% growth. And just a reminder, again, our model is that we pick from store, and that's why we have that requirement for that higher on-shelf availability. And then the third reason is around the supply chain investment and the additional stock to obviously have stock availability within our distribution centers. Pleasing to note is that we managed to maintain our inventory to sales within the store portfolio at below 9%. Non-RSA inventory levels remained stable and the increase that we saw within other operating segments was as a result of our pharma expansion. And there, I'm referring to the expansion within our distribution center that we opened in Gauteng earlier this year. In conclusion then, maybe just some considerations in terms of how we look at the second half and what is our expectations in terms of the second half. Supermarkets RSA selling price inflation for January measured 0.7%. If we compare that to prior year, it was at 3.1%. And I think we're all on the same page that we do expect to see lower inflation for a longer period of time. In terms of growth from new business, as mentioned, we plan to open 123 new stores during the second half of the financial year. If I look at the income statement in terms of our trading profit margin, medium term, still a 6% trading margin target. But if I look at the current environment and the low inflation environment, I think more realistically, a 5.7% to 5.9% trading margin would be a good outcome for us. If we then also follow those principles in terms of how we look at gross margin, seeing that the cost of delivery as part of our Sixty60 platform and Sixty60 operations now forms part of our cost of sales. I do expect to see a slight impact for the full year as a result of that. And we're estimating gross margin for the full year to be around 23.9% to 24.2%. From a cost growth point of view, the staff cost growth, and I did mention that we saw that slowdown from the prior year from the 10.8% to the 8.6%, we are currently in negotiations again with the unions around the increases for our store staff. So that we will also communicate and discuss when we have more clarity on that. Depreciation, the lower capital spend for the full year, I do expect to see that we can come back to that 3% as a percentage to sales ratio. And electricity and water, unfortunately, I think that cost is going to continue to increase. And if we can get back to a 2.1% ratio, that will also be a very good outcome for us. From a finance cost point of view, especially the IFRS 16 leases, the Wells Estate distribution center was already part of the second half of the prior financial year, and it didn't form part of the base, which means that we will see a slower growth within finance costs in the second half. So I do expect to see an improved result already on that 17% that we reported in the first half. And then lastly, maybe just around our effective tax rate. I do estimate our effective tax rate to be between 27% and 28%. From an inventory point of view, we saw that improved result already in the first half. And I do expect to see that continuing throughout the full financial year, especially now that we have all the distribution centers in our numbers. And then from a capital allocation point of view, a reminder that we do have a current dividend policy of 1.75x of the full year diluted headline earnings per share from continued operations, and I do not foresee any changes to that strategy. In terms of share buyback mandate, it's still in place by the Board and management will execute on that as we see fit. From a CapEx point of view, if I look at the spend in the first half and I also look at the store opening program for the second half, I do expect us to actually see a slowdown in our spend within CapEx. That is definitely something that management is currently driving, and we're looking at a ZAR 7.5 billion increase for the full year, which will be lower than the 3% target that we set ourselves as well as our previous year spend. Pieter, that then concludes my part of the presentation and looking forward to hear from you around the operations and strategy of the group. Thank you very much.
Pieter Engelbrecht: So thank you very much to Anton. As usual, you have given us a very clear explanation to understand the financials of the Shoprite Group, both the balance sheet and also on the cost side as well as the changes that happened in the comparable numbers. And I hope that you all are very clear now in terms of your own models how to look at the Shoprite business this year going forward. So I know we've repeated numbers a couple of times and the 7.2% growth in the revenue amounts to an additional ZAR 9.2 billion that was added in the 6 months. Now for me, I don't know for you, but for me, that's an enormous amount of money. But fantastic performance again from Team Shoprite, gross profit up by 7.1%. And there's a telling number, the gross profit. There is something in here that was quite problematic is service levels from our brand owners that supplies us has a direct impact on gross profit margins also. And we do find it these days because of the size of these numbers, you talk ZAR 136 billion for 6 months in revenue. It's very hard to consistently supply the Shoprite Group to maintain our world standard of over 98% on shelf availability. So the confidential discounts, the rebates, all the things that adds up into gross profit margin, I think an excellent result to come in at a 23.8% gross profit margin for the 6 months. Trading profit up by 5.9% with a trading margin of 5.7%. But then as I said earlier, absolute world-class South African trading margin at 6.2%. I cannot help to think that, that is absolutely a world-class performance. And that is not done by increasing prices. We were talking about deflation and the inflation was only 0.7%. That comes out of running an efficient business from the supply chain right through to deliver the last-mile delivery to our customers. Obviously, we've grown the EBITDA. We know what the effect is of IFRS 16 and the lease payments and that so EBITDA is these days, I find it a little bit different in the old days when it was purely cash flow because if you look at our cash flow that Anton just explained now, the cash flow is very strong. And the EBITDA shows a 6.7% growth. So just something that we have to take note of that things have changed. The CapEx spend, we've been spending ZAR 8 billion basically for the last 3 years. We are very tight on that CapEx spend. A lot of that spend have really put a difference between us and our competitors. Amongst that, if I can give one example, it would be our price optimization tool. And I said 5 years ago, if retailers are not going to invest in that technology, coupled with artificial intelligence agents, you're going to somewhere start to fall guy. The maintenance of the gross profit, the additional contribution of promotional items participation in the basket is testimony of selecting the correct items, the items that people are looking for. So here's a good example of previous investments, earlier CapEx that was spent that is now really starting to pay back, which we're very pleased about. And I told you about over 98% in stock on inventory. So if we, from an operational point, have to mark our own homework, what stands out is more customers, higher volumes, continued market share gains, meaning you're running faster than your competitor. You're gaining customers faster than your competitor. And you're giving the volumes to your brand owners, I like to refer to them as brand owners, not suppliers. That helps them to reduce costs and get efficiencies. So you think about it, 572 million customer visits, up over 5%, 0.5 billion people, 1.2 million additional customers per week. We can work it down by the hours that we trade and how many that is. It's just astounding for me, selling over 4 billion items, and I told you before, gained ZAR 3 billion in market share now for 6 years, uninterrupted every single month. I know we've mentioned the number before, but the 7.1% sales growth was achieved despite a declining internal inflation, and I'm going to get to an explanation, the difference between our internal inflation and official CPI calculation. There is quite a difference in the methodology. We really have been able to maintain the sales momentum, our customers with the selection of products and really the data, I must always come back to the data. It's data-led decisions that make us make better decisions. It's not the gut feel decision. It's fact-based. It's data-based. Also, on top of that, I've mentioned the price optimization tool, the gross margin stayed intact despite the fact that people are buying more into the promotional items. Our promotional contribution to the overall basket have now increased to about 40%. And that is something we will have to watch. But over so many items, you need technology and systems to assist you to make the right decisions in there. Liquor stores have done very well. We will probably have over 1,000 stores by June in both the brands, Shoprite and Checkers Liquor. Sixty60 remains a remarkable story, growing 34% on a very high base. And some people think it's not profitable. It is. There are many reasons why. And over time, we will also explain to you why. This model works so differently in our environment to that of our competitor. Now if we look at the market share on this graph that I'm showing you, there are 2 graphs here. So if one looks at the formal retail market in totality and the base have been elaborated. It now also includes some other competitors. The growth was ZAR 14 billion. And if you think of it that basically Shoprite took more than ZAR 9.2 billion of that and the rest of the market had to share the difference. And you can see it clearly. Graph on the left shows you that for the 6 months, Shoprite have outgrown the market by 2.3x. And then on the right-hand side, you can see every single brand has gained market share. So it's not a one swallow story. Yes, the growth in Checkers is higher than in the rest of the other 2 brands. But it's just because Checkers is the fastest-growing retailer in the premium food segment in South Africa. So I have already mentioned that we had a very good festive period that have continued subsequently. We've outgrown the rest of market during the festive 5.3x and well publicized that the consensus was that it wasn't a fantastic festive or Black Friday for the rest of the market. But for Shoprite, we're not in the same boat. We're very happy with the performance. And I've just spoken earlier about maintaining margin. Our customers win because there's deflation. 14,000 items, I mentioned in December was cheaper than the previous year. Of course, if you look at it in a monetary value, even though we're growing volume, of course, the monetary value is not there. Even though customers continue to buy the same number of items because of the deflation, your rand cent value doesn't support your volume growth, plus the fact that as said we've grown customers by 5.6%. So I just want to, for a minute, explain the difference between official food inflation, which you would read for December was 4.7% versus ours for the 6 months at 0.7%. The difference is that the official food inflation is calculated on a static basket based on 2023 life conditions, which at that time included, of course, our extensive load shedding. So for example, in that basket would be candles. But it is, at the moment, not that relevant anymore. So the way we calculate our internal inflation is we have taken this specific period, 56,000 items bought by customers. And remember, customers buy different things. It's actually a complicated number to calculate because you've got promos, you've got combos, you've got multi-buys. But in theory, to make it simple is we take the 56,000 items that's being bought by customers this year, and we look what was the price last year because that's the true inflation, the customer experiences not what we think they are experiencing because people down buy, people change brands. There's a lot of nuances that go into that number. And I do believe that our number is probably the most accurate true reflection of food inflation for the South African consumer. Now we must remember, there are monetary policies being made on these numbers. And I'm just putting up my hand here to say, we must be careful that we base monetary policy on numbers that are not 100% correct. or, let's say, the most sophisticated that we can do it. So what do we do? We're in the long game. Pricing has always been for us, paramount first. That is why when the customer wakes up and they didn't see an advert or a promo, they don't have to think where they have to go. They know where they will get the best value. That is what we do. But if you look at what I've just put there for you on the screen is the inflation by brand. And you can clearly see, of course, the more affluent customers in the Checkers brand, 1.9% inflation. And then you go down to Usave that goes into a negative. And a lot of that is driven by the prices of commodity type items, basic items because we over-index in a lot of these categories. In other words, we have a higher market share in these specific categories, and I put there some examples for you than our overall market share. So there's in a lot of cases, been double-digit negative or deflation in categories like potatoes and rice and so forth. And even through all of this, and I already mentioned the 14,000 items that was cheaper, Shoprite Group still managed to maintain its gross margin in such a strong deflationary environment in categories where we over-index. I think very good result. As you all are very aware that basically, Shoprite Group runs multiple brands. And on the supermarket business, in particular, we have very deliberately separated the Shoprite brand and the Checkers brand. But there are also other sub-brands, Usave, Liquor, the wholesale or cash and carry as we have today, which was part of the Massmart transaction. What I can say is all of these brands are doing their job. They deliver. Shoprite as a brand have added 5.1% to sales growth, amounting now to over ZAR 62 billion, added an additional ZAR 3 billion in sales in the last 6 months, continue to gain market share. But most telling is probably the 4.8% growth in customers, amounting to 670,000 additional customer visits per week. And I'm deliberately saying it slowly just that we, for a moment, pause and what does that mean for the entire value chain from our brand managers, that's our suppliers right through the supply chain, the service levels we have to give at store to get it on the shelf, the movement of the stock, the cost of that extra movement of stock. So for me, incredible that Shoprite is still able after 6 years to grow its customer base and grow its market share. I'm very pleased about this result. And -- that is what Shoprite does. Price is what we do, value is what we give. So when in doubt, you wake up in the morning, you need to go shopping, you don't have to think. You go Shoprite, you get the best value. No questions asked. And then the cash and carry business, I mentioned earlier, if we can bank percentages, we would be very rich, but one doesn't bank percentages. We bank the ZAR 3 billion extra revenue, but the 24% growth in the cash and carry, that's just a percentage. We can't bank that. But super performance growing. It's a new world for us and a lot of good potential that we see in that business. If we look at the Checkers brand, I just mentioned, remember, we're running basically 2 retailers, absolutely industry-leading sales growth of 8.9%. Checkers is now doing ZAR 52.2 billion in revenue, I want to just add for 6 months, if we compare that to our peers and added ZAR 4.3 billion in revenue in the last 6 months. Also multi-brand, Checkers, Checkers Hyper, Liquor Shop and then, of course, Sixty60. Checkers remains the fastest-growing grocer in the premium market and continue to gain market share. The reason why we picked Jamie Oliver was he is globally known for standing for healthy eating, healthy cooking. And then I often get the question, so how many of what we call the FreshX stores we're still going to do. So we basically 50% through the real estate, 188 stores being done. It doesn't mean all of the stores eventually will be done, but all of the stores will be of acceptable standards. They might just not have orange floor. And then probably the global retailers' dream is that customers start to love your brand. They become your brand advocate. Now I've looked around, you can correct me, but I have not found another country where an FMCG food retailer has achieved the position of being the #1 brand in the country of all businesses. And it stays for us a proud moment, and we will cherish that and try and keep there as long as we can. Our non-RSA segment, I did make mention to the 272 stores now. Sales growth was a very healthy 12%, but the profitability did suffer mostly as a result of what happened in Mozambique, a bit of headwind in Angola, but also some positive turn lately in Zambia, where as the Kariba Dam is starting to fill up that we have less and less load shedding. If we look at the other operating segment, the OK Franchise division had a 1.7% sales growth. If we look at the 9 stores were closed, it basically comes down to a like-for-like sales number. They also had the same as the rest of market had to contend with deflation and so not unpleasing result. There are some changes in the market around personal care, health and beauty. And we can see that also in our Medirite sales, hence, why we have decided to start opening stand-alone pharmacies with front shop, and they are performing exceptionally well. And then Transpharm, although only a 5%-odd growth for the 6 months, accelerated towards the second part. Remember, we went into a new distribution center in July and really done exceptionally well since we moved in there, and it's a much more automated facility. We've added 873 new customers to the overall customer base, which I'm very pleased about. I think I've said it now more than once. We are truly a customer business. This is how we make decisions from the customer backwards. And then we find out how to do it cheaper, not the other way around. So probably my pride and joy would be the slide that I show you now, ZAR 9.7 billion in instant cash savings at till point in the last 6 months. ZAR 9.7 billion we've given back to the South African consumer at till point on the things that they need. It's an enormous number. For me, it's incredible that we can actually afford to do that and still have spoken about all the things that's still intact, like the trading margin, the gross margin, et cetera. There's no question that Shoprite is #1 when it comes to price and value. And then this thing and I think 2 years ago, I told you the story about my visit to a Usave 1 day and this kid that they couldn't buy a sweet. And today, here, I can stand and say, in the 6 months, we sold 9.5 million items at ZAR 1. That is USD 0.06. And can you think like I 9.5 million smiles on a kid's face that bought a little packet of chips or chocolate for ZAR 1. Incredible. Then we even take the next step. 55.6 million items sold at ZAR 5, helping people survive. How else do you survive if you live on a ZAR 370 grant a month. You can with Shoprite ZAR 5 meal solutions. We've got over 30 meal solutions under ZAR 5. That is what we think. That is what we live. That's why Shoprite is what I call not just a retailer, it's an institution. If I just very quickly give you an overview where we currently are in terms of our strategy, I think it's now almost 9 or 10 years that I've been showing you this trolley with its 9 levers. And basically, it's stayed the same. I just want to give you assurance that we have a plan, we stick to our plan. We all understand what it is, and then we execute with excellence. That's what I think sets Shoprite apart. I spoke about that, I think, easily 9 years or so ago. I used the phrase to say, we're going to create a smarter Shoprite with more data to allow us to make better decisions. And today, I can really say to you the amount of decisions that are made on real data and what customers' behavior shows us in terms of price optimization, in terms of healthy eating, in terms of what we advertise is really, really sophisticated. And it learns by the day. I don't have to give you a lesson around artificial intelligence and the use thereof. But I can just tell you that we are using it. As you know, we've said before, we do view ourselves as a high-growth company. At least we try and achieve that. And we look at our data and in our world, we see what is it that the curve that people are on, what are their lifestyles currently. And hence, we've opened some of these adjacent businesses based on the data that we have how people behave, what they buy, what's happening in their lives. And the Petshop Science is a very good example of that. It was a greenfield operation that started, now 173 stores, making a good contribution overall, both in revenue and in profit, where we have noticed that there is a difference in the new generation of how they view pets and kids, et cetera. And very proud about the business, and it's performing very well. Amongst other, we've got Little Me, we've got Outdoor. After COVID, there was this tendency of people to just go more camping and outdoor and spending more time together. So there was just a gap in the market for that. And what we are trying to achieve is to increase our part of people's discretionary spend. The digital commerce really, I mean, I did make mention of Sixty60 already. You know the numbers, 20% growth, 18,000 jobs being created since the inception. We've got 10,000 drivers. And if you look at that fantastic graph on your right-hand side, I mean, it drives you to tears to see that for so many years, consistently, this business have just kept on improving. And a staggering number for me is that over 900 software upgrades, releases, patches is done in a year, improving this product virtually by the day. So we're not standing still. We don't say, oh, we've done it. It's happening. We're working on it every day. And the beauty of it is, and you will remember, I think it's now 2 years ago that I've said, we've set ourselves this task when we had to rationalize the African operations. We set ourselves a task to become really truly omnichannel. And that's exactly what's happening at the moment. So very soon on this one platform, you'll be able to navigate through all the everyday categories like from your groceries into your health and beauty, to your pet, to baby, it's really limited to your imagination. And all of this will be amplified and made very easy with the use of an AI agent just for additional convenience, making shopping really seamless. This graph will be my last. So apologies to my own people for some of the brands that are not on this picture. It's not that we've forgotten about them. It just gets busy. The idea is that you get this picture where this is what we've been doing for the last 10 years. We first laid the foundation with the core systems. We improved our distribution and supply chain. We then added adjacencies and the data. Then we added the extra savings to really embed our decision-making on our customer-driven data and then finally, to deliver all of that in a single omnichannel platform for not only ease of use, but just the convenience, the fact that if we can do all of that together, also the fact that we can bring it to you at a cheaper price, better value, that's what we stand for. That's what we deliver. So just having taken you through the steps, I want to say this is not impossible to replicate or to do. It's just very hard and it costs money. But this is sort of the story why the Shoprite Group can continue to deliver a certain level of customer experience and a value proposition to its consumers and the people that we serve. I really want to thank you for the time that you offered us and that you still feel it valuable to spend an hour to just listen what it is that we do and that we're still of interest to you. So thank you very much. We're going to give you some time now to quickly get your questions. And then Anton and I will take questions and answers. [indiscernible] in the last 6 months. So just very quickly while you're getting your questions and we're getting ready to answer you and you're free to ask whatever you want, is that the momentum from December continued. I think a 7.5% sales growth into January was excellent. If we -- and that's why I made that explanation of the inflation. If the true inflation was 4.8% or 4.7% it was published for December, then Shoprite would have grown 12%, double digit. But it is not the true inflation. We went into deflation in December. So that's why I made that point in the explanation between the difference of the calculations. So just to give you a context. To be able to -- if we theoretically have to say then the Shoprite Group grew double digits in the last 6 months, it is incredible. So once again, thank you to team Shoprite. So we continue to gain the market shares. I did mention, and I'm going to repeat it because I think it was just astounding that in the December and the festive month that the Shoprite Group managed to outgrow rest of market 5.3x. And that continued into January, outgrowing the rest of market 4x. But yes, I have to tell you, the other side is the deflationary or lack of inflation, let me call it that. So we ended up 0.7%, as you've seen on the numbers for the 6 months. Actually, the real inflation in February came down to 0.5% from 0.7% in January. So we don't see in the short term a change in the food inflation basket. And then immediately, I want to emphasize the ability through all of this to maintain the gross profit margins with all the things that I've explained. I'm not going to repeat myself again. So I mean, in the end, we can debate a lot of things about pricing, moving pricing. But we, first and foremost, are for the consumer. So we first look what is the consumer's world, and that determines our pricing, not the other way around. So Anton, I think that's my summary to say that, that drives everything we do. And there's going to be some green shoots there. So I'm very positive, I think, but now yesterday, the weekend, we've got this war going on in Iran and all that stuff. So the oil price quickly went up, and we were banking on a reduced fuel price. I mean, that would have given us a good saving on the cost line and the supply chain, which I'm very proud of. I think Shoprite probably runs the best FMCG supply chain in the world if we look at our service levels. So things are changing, but -- and I also -- I know hope is not a strategy. But if all the money that government have secured for development, et cetera, and if that goes into infrastructure, like ports and roads and water and electricity, all these things, that creates jobs and creates economy. And if that starts to happen, Shoprite usually is the first one to benefit. Small people, I'm a welder. So I get a little job to weld and then I can't do it all and I need a handler and before we know, I need a driver. And before we know we've got 10 people employed having a job. So I'm still positive that these things are going to come through. It does look like that there is an inclination from also government's point of view in terms of really that we have to get this economy going. Okay. So that's our summary, Anton, we can take some questions.
Anton de Bruyn: Unfortunately, I'm not going to let you off the hook on GP, gross margin. There's quite a few questions. I'm not going to call out the names. There's quite a few questions around gross margin. So I think, Pieter, the main question, if I summarize all these questions is how do you think about gross margin? How do you think about promotional participation? So if you maybe can just give us color on that for the second half and how you see that play out?
Pieter Engelbrecht: If I have to assume what people are thinking in that question is there's so much pressure in the retail market currently Everybody is under pressure. And specifically on margin, of course, you say must the competitors start moving their prices and does it give us opportunity to move prices? I go back. Consumer first. So yes, there may be, but not necessarily. That's the first part. The second part is, yes, we've seen an increase again in the promotional participation of items to the basket. And there is a level where it gets too high and it's not sustainable. You can't just give everything away. But if we go back to the CapEx that you said, we spent over the last 3 years, ZAR 8 billion a year, that's the tools that we've, amongst other, have invested to help us to make more scientific decisions around pricing kind of items, width of promotion. It's a science by itself not to take any credit away from the fantastic buying team that we've got and the people leading that. But the point is if you don't have the tools and you're not investing in AI and you're not using it, then the gap is probably going to widen. And the consumer will decide, you need to be the most relevant. That's why I made that comment. That's how I think. I don't say everybody thinks that way. I'm on the inside. But if I wake up on a Saturday morning, I say, where must I go to get the best deal. I'm going to go to Shoprite or Checker. Usave is actually by far the best deal if I'm on the budget. So that is -- that's my answer to the margin. If you wanted me to say, do we think we can increase the margin even further? I'm going to go back to what I always say is I think we can maintain our margin, but be very careful to increase your margin. I mean, for Shoprite Group to run the highest gross profit margin of all retailers in South Africa and still be the cheapest, that is what we need to protect, first and foremost, not just to drive margin.
Anton de Bruyn: So I think, I mean, maybe just to add to what you're saying and that there's also a question around trading margin and the guidance and the medium term, we spoke about that 6%. So I mean, if we really look currently at the trading profit and trading margin per segment, we can see that we've maintained our RSA Supermarket trading margin at 6.2%. So the outlook still for us is how we look at the RSA trading margin, and we're currently maintaining that trading margin. There is some pressure within the non-RSA segment. And then we do expect a better performance in terms of the other segments for the second half. So that's really driving also our medium-term targets around how we think about trading margin.
Pieter Engelbrecht: And the non-RSA, I mean Namibia is basically in the same position as Africa around the deflationary environment. The [indiscernible] was thrown under the bus. Malawi -- not Malawi, Mozambique, we all know what's going on. South has got the floods. North has got ISIS. And then as I said, a bit of a headwind in Angola. But I mean, it will come right.
Anton de Bruyn: So you did say in your gross margin discussion, you talked about AI. So I mean, Ya'eesh, you had a question around how the group utilizes AI. And so maybe just share some of your thoughts in terms of what we do or are you seeing the impact of AI in the business?
Pieter Engelbrecht: Okay. No, I like that one. I'm very excited about AI. We started this year, in particular, actually 4 years ago, we already started to get the right people in place data scientists, people that understand the layers of data because remember, you've got agentic that you compete against, and there will be a consumer agent and there will be a retail agent in our world. And if your data sets are not set up correctly, you may just miss a question. You may not be in the answer. It's very different to -- if you do a Google search today versus speaking to agent. And we have really embraced it. I think it's what we said a couple of years ago. It's not what did I say? It's not a race for space, it's a race for reach. And this is almost the same that I feel about AI. And so we have started this year. So we have -- yesterday, actually, I looked at the first version of the dashboard. We can see exactly who's using it, who's not using it. We have used a couple of agents, Copilot, Gemini. Google looks a little bit strong at this moment. So we are actively embracing AI across the entire business. We're measuring who's using it. I actually, at some point, said, I must be careful because it can become addictive that you keep on asking questions and you need to deliver on something. You can't ask questions all the time. And we might have to limit people's time that they spend on it. But for now, I can tell you that it's definitely something that we take very seriously and will embrace into our business. And yes, it's not that like the Cisco CEO said, AI is not going to take people's jobs, but people that uses and knows how to use AI will take your job.
Anton de Bruyn: Strong point to end. If we maybe just come back to inventory. We had quite a strong numbers in terms of inventory, also a better impact in terms of our working capital. Do you see that actually going into the second half as well? Do you see a better performance in terms of our stockholding?
Pieter Engelbrecht: You asked me the question yesterday, I would have said yes immediately without thinking. Now today, I have to say 162 containers are stuck in the Suez Canal currently. So I don't know exactly what the impact of that would be. But remember, these are businesses. They make plans. Maersk has already decided to come around Cape Town not going through the Suez because it's closed and they offload. And so I don't think it's a concern. I think the number -- if people think -- but how did we maintain a 98.5% on shelf availability and reduce the inventory basically? It's because of the decisions -- well, the new DCs and the decision to also serve inland from our distribution centers and rather incur the additional fuel cost than compromising the on-shelf availability. And we're seeing a benefit of it.
Anton de Bruyn: We see it in our GP as well. Maybe we've quite a few questions on IFRS 16 and what I mean by normalization. So we've already seen an improved growth rate in terms of that IFRS 16 lease liability and costs. The main move for us last year and why we saw such a big growth was as a result of now 2 to 3 years of continued increases in our DC space. So obviously, as soon as a DC comes in, that's got a massive impact in terms of our leasability. Our DC leases are 20-year leases. So you have to acknowledge a 20-year lease, and that's why you see that movement in that lease liability. I think what will bring our total finance costs line down, and we have already seen it in the first half is also the decline in our borrowing costs. I mean our strong cash flows that we generate has made us less dependent on overdraft during month-end period. So we're already seeing that benefit coming through. Like I said, I think we will see a much better -- also a stronger result in the second half in terms of our borrowing cost. So yes, I mean, I hope that answers the question around IFRS 16.
Pieter Engelbrecht: You maybe just think of something is that we're even in such a privileged position that we can provide what I call our brand managers, suppliers, sometimes with bridging finance especially over month ends in high promotional periods when cash flow is tight. I mean that's a fantastic position to be in for the retailer.
Anton de Bruyn: Pieter, I mean, I think we've answered most of the questions. The one that I'm going to maybe ask you to close out with is there's questions around you've spoken about the profitability within Sixty60. I know you always talk about that omnichannel customer. Maybe you just want to talk about we could see the trading profit and trading margins remain strong. Maybe just talk about that in terms of how you think about the Checkers and the Shoprite banners.
Pieter Engelbrecht: Yes. I think the answer goes back to what I said around the omnichannel. I mean we really truly want to be a full omnichannel retailer, which means I think somebody asked a question somewhere around can we provide our Sixty60 service to third parties and other retailers. And so yes, we could, but it's not on our plan currently. We've got too much to do. I mean all the businesses that we have in the group, you know that we are a multi-brand retailer. We still have to add all of those functionalities onto the omnichannel. That process is running flat out. So that's what we have to deliver first. And I made the comment in my part to say that we're trying to increase our part or share of the discretionary income or spend of customers. Now that's exactly what Sixty60 does. And -- I mean, we've added now pet and the rest of the businesses units still has to be added until we've got a full omnichannel. And we're going to -- we said -- we decided rightly or wrongly that we will give you more color at year-end presentation around the adjacent businesses, what we do in financial services, what we do in pharma care. There's a lot of things happening at the moment. But in terms of the omnichannel, the first target, obviously, is to get as quick as we can the entire business unit of the Shoprite Group onto that platform. And there's agentic that needs to be implemented to make it easier, faster. And that's why I mentioned the over 900 software releases. It's an enormous amount of work that goes in there. It's a lot of stuff that I don't even understand, but I know it works. That's more important. So yes, that's the story, Anton.
Anton de Bruyn: You can close.
Pieter Engelbrecht: Well, then if that is that, all good. Thank you again, everybody, for your time. It is not taken for granted. I know you've got many businesses to look at. You've got many choices of making investments. We hope that we have given you the best clarity of what's happening in these walls every day. And I certainly am very pleased with the result, given the whole market. You know we never make excuses. So I hope that we gave you some clarity. And thanks a lot. Have a fantastic day. We'll make some money.